Jean Poitou: Good morning, and welcome. Thank you for joining us for this presentation of the 2025 annual results. I have been the new CEO since last September. My name is Jean-Laurent Poitou. I met some of you already. So not just the 2025 annual results, but also in line with what we announced on 22 January when we presented our Horizon strategy for the next few years. We'll tell you about the outlook. I will not reiterate what was said then, but we are -- we'll be looking at the implications of Horizons for 2026. I have next to me Olivier Champourlier, our CFO, who will give you details about the numbers. So the key figures for 2025. EUR 2.525 billion in revenue. That's an organic growth of 0.6%. Now that's less than the ambition that we have for future years. Nonetheless, the profitability is in line with what we announced for 2025 since we have 12.8% in operating margin before accounting for the dilutive effects of operations conducted in 2025, particularly the acquisition of the BVA Family and infas. Now then growth is less than hoped for. However, with a tight budget policy in the 50 operations, we were able to observe the necessary discipline to stay in line with our expectations for future years. So a few words about what we announced back in September and now the numbers as they have come out in the press release. In the EMEA region, that's about half of our revenue, organic growth stood at 2%. Now it was 5.5% in 2025 compared to 2024. So there's a continuing momentum on the EMEA region. Now if you look at the various businesses or the various markets or the audiences for the private sector, consumers, customers, patients, physicians. We find that organic growth stands at 2.1%. And so we emphasize this because on the citizens part, then there is Ipsos' activity with the public sector decision-makers, and that has a significant weight on growth. Our business there in the private sector has pursued this momentum with a 2% growth. And so in those areas where the automated services are most used by customers, we still enjoy good growth, including in those areas where services are automated, and that is particularly visible for the Ipsos digital platform. That's a platform that enables our customers either directly or with the help of our teams to conduct their surveys using that platform with the questionnaires, enabling them to have access to our human response through our panels and having an automatic rendition of the results on the platform, organic growth 27%, about 30% since the beginning. And since this is an automated platform that generates profitability twice as high as the group's average, and that is very promising indeed because in a world where technology, automation, artificial intelligence make it possible to conduct a significant amount of research using these solutions such as Ipsos Digital. This is very promising indeed, even if we can still do better. And then, of course, we're returning to significant acquisitions, the BVA Family and infas, so we are in France, or businesses in Italy -- so that business is growing. And also PRS IN VIVO, you may remember, this is assessing packaging. With PRS IN VIVO, we have a significant presence in a number of big markets, including the United States. And so infas, which enables us to have a reinforced presence in Germany and the public sector. Now the public sector, public affairs, now this weighs heavily on growth, several hundred million, but this is negative growth this year, minus 8%. So we're talking about EUR 30 million decline compared to last year, nonetheless. Public affairs is a major strategic asset for Ipsos. We reaffirmed this at Capital Markets Day for a simple reason. With our better understanding of citizens, we have items of background that produce and justify our -- well, not just the recommendations, the insights in line with responses we get from respondents as consumers, our patients, but also taking on board their own background, their opinions. And that, of course, enhances the quality of our surveys. But then this is a resilient business, and that's, of course, the unfortunate side of the -- well, the cyclical dimension of public affairs. This was hit, as you can well imagine, by complex and challenging political situations in our big markets in the U.S., in France, but also in Australia, New Zealand, India. And of course, budget situations and the shutdown in the U.S. certainly didn't help. So significant ups and downs. But in some cases, this business can be countercyclical. And that is, of course, one of the reasons why we keep the business. And then we didn't make the most of that growth potential. Our presence in many countries, a global presence really when you've conducted surveys on major public policies, transportation, health or whatnot, we can inform decision-makers in other countries. And so we can leverage that. Our presence in public affairs in many countries should enable us to relaunch that business. And of course, I didn't want to spend the whole time discussing public affairs. But even though the performance in -- was a bit disappointing. But without further ado, I'll give the floor to Olivier Champourlier, our CFO, who will give you details about the figures for 2025. Olivier.
Olivier Champourlier: Good morning, ladies and gentlemen. So as Jean-Laurent pointed out, total revenue for the year 2025 stood at EUR 2.525 billion. Total growth, 3.4%. You have organic growth, 0.6%, scope effects 5.8%, and that is essentially related to the acquisitions, the BVA Family and infas, but also negative currency effects of minus 3%. And that, of course, weighed down on revenue. And that is a consequence of euro's performance vis-a-vis the U.S. dollar and other currencies. Looking at regions, EMEA growth stood at 12%. This is significant growth with a positive impact from acquisitions because the main acquisitions from the previous year, infas and BVA were in Europe, infas in Germany, BVA Family in France, Italy and Britain. Within the EMEA region, organic growth stood at 2%. And that, of course, is a good performance after -- well, in 2025, the growth stood at 5.5%. So within that region, there are several movements. Continental Europe enjoyed a significant growth, upwards of 2% in Germany, in Spain stood at 6%, Belgium 3%. And Eastern Europe, upwards of 10% and driven -- that was driven by Turkey. Same region, you have the Middle East, and this is enjoying dynamic growth, 8%. Nonetheless, it should be pointed out that you have one country with negative growth, and that's France. France suffered a 3% decline. That was mostly due to lower orders from the public sector if you -- and that is, of course, related to fiscal conditions, political uncertainty. But without that, had it not been for that, then we would have had some growth in France. Americas, 0.3% total growth, minus 3.4%. The difference between the 2 is negative FX with the depreciation of the U.S. dollar vis-a-vis the euro. So you have Latin America with sustained growth plus 5%. North America, by contrast, had a slight decline, minus 0.14%. That business in the U.S. was penalized because there was less public affairs business. And as Jean-Laurent pointed out, the shutdown in the U.S. and fiscal budget restrictions had a negative impact and the revenue was down 15% in the U.S. but restated for that, in North America, growth would have been 2%. Some businesses are resilient in the service lines, and that's consumer goods -- on the consumers market. That did well last year. Finally, you have Asia Pacific. You have 2 subregions there. China, of course, is the largest country, the biggest country in that region, and their growth was stable last year. And that in itself is pretty satisfactory in what is actual a challenging and indeed shrinking market. And for the rest of the region, growth was negative, minus 4%. That's Asia Pacific, not including Mainland China, minus 4%, and that was impacted by less business in public affairs in Australia and New Zealand, but also India. There was, of course, a host of elections in 2024. Now if you look at revenue by audience, we have service lines for consumers and clients and employees with a similar growth, 2.1%. That includes mostly understanding the markets and brands, the significance of the advertising market and what are known as mystery customers. Citizens, that includes public affairs then and what we call corporate and corporate reputation, and that had negative growth -- organic growth, minus 8%. The main markets were the U.S. and France that suffered, as Jean-Laurent indicated in an uncertain political environment, the shutdown in the U.S. and fiscal restrictions in a number of states. But a source of satisfaction is the business on doctors and patients that had positive organic growth, 2.4% compared with minus 3% last year. And so we have resumed growth there. That's mostly to do with innovation in oncology, rare diseases and studies on GLP, which concerns the treatment of type 2 diabetes and obesity. That these were growth factors for us. Business on the digital platform also enjoyed significant growth, 27%, but that platform enables us to deliver studies -- service for consumers, and that is the first line on this table. Restating for services to citizens, so the minus 8%. On the private sector, growth was 2.1% and you have to emphasize this, our business with private players remains very satisfactory indeed. Now looking at the income statement, revenue enjoyed 3.4% growth. Gross margin was up 2% so not quite as fast as the growth of revenue. The ratio stood at 68.7%, down 90 basis points compared to last year. Now how do you account for that? There are 2 effects. You have scope effects, and that is the acquisition of BVA and infas. And so this had an impact gross margin to the tune of 60 basis points. Infas is a public affairs business and so not using online platforms. And so the margin there is lower than the group's average. And so that was to be expected. And so no surprises there. At constant scope, we have a decline of 30 basis points decline in gross margin. That's because we have a high cost of data collection. That trend is only temporary. And for the year 2026, we expect -- in fact, we expect that margin rate to improve in line with previous years. Below that, you have the wage bill and SG&A. These were up -- well, because of the acquisitions mostly, but restating for that, that is acquisitions. The wage bill remained stable. So we were able to adjust our cost structure to the scope of our business. And regarding SG&A, that remained stable as well. There are 2 factors there. We kept investing in technology and information technology. So that's a significant increase, but then we were able to offset that with the savings on other items, SG&A items, mostly on offices on rents. There, the tax -- income tax rate was 25% in line with the rate for 2024. The operating ratio is 12.8% compared to 13.1%. It's on a constant ratio -- constant scope, it was 12.3%. So that is because of the acquisitions, but this is in a situation we are trying to keep costs under control. Net profit attributable to the group stood at EUR 240 million. You have -- the earnings per share adjusted is EUR 5.5 per share then. Regarding cash flow, gross operating cash flow stood at EUR 410 million compared to EUR 430 million last year, and that is, of course, in line with the lower operating margin. Regarding change in WCR, that was negative to the tune of about EUR 30 million, and that is for 2 reasons, higher business because the business grew 3.2% in Q4 2024. And also, we had provisions for the bonuses for variable compensation, and that was down compared to last year, and that is the disbursement that will occur in H2 2026. The intangible assets, and that's the CapEx standing at EUR 78 million, up EUR 78 million -- sorry, EUR 78 million, up EUR 9 million compared to 2024. And that is in line with what we told the market. We keep investing in strategic solutions, platforms, panels and generative AI, sorry. Free cash flow stood at EUR 181 million to be compared with an average of about EUR 200 million. So free cash flow is more or less in line, at least close to the average performance of the last 4 years. If you look at below that line on free cash flow, you have acquisitions and financial investments for the year, EUR 178 million, and that is, of course, the acquisitions, the BVA Family and infas again. We bought back some shares to deliver free shares to our employees to the tune of EUR 14 million. Then there was dividends paid about EUR 80 million. And regarding financing operations, there's an increase in that, about EUR 100 million. And that's -- you have 2 operations there. We issued a bond of EUR 400 million in January 2025. And in June of the same year, we paid back the previous bond, EUR 300 million. So the net effect is EUR 100 million. And then finally, let me conclude with the financial position, the group's financial position. It's an outstanding situation. The balance sheet is sound. Net debt stand at EUR 219 million compared to EUR 57 million last year, but that's because of the acquisitions. The debt-to-EBITDA ratio remains sound at 0.5x EBITDA so above -- way above last year, but that's because of the acquisitions. But regarding gross debt, it stands at EUR 525 million because of the refinancing of the bond, we don't have any short-term deadline. The next one is 2030. And we have undrawn credit lines above EUR 400 million. And so we have, of course, plenty of cash available. Thank you for your attention. And now I'll give the floor back to Jean-Laurent, who will give you a more detailed analysis of our business.
Jean Poitou: Thank you, Olivier. So we've discussed 2025. 22nd of January, we discussed the future 2 time Horizons, '26, '28 and the longer out to 2030. We're going to briefly return to that to focus on what it entails both in terms of intervention and actions on our activity in terms of numbers for the current year. Our priority is a return to organic growth by continuing to maintain current margin levels and our prime obsession is that of stronger organic growth than the 0.6% that we've just mentioned. We're in a dynamic industry. So we're continuing to see our clients and the example of our change in our activity, excluding public affairs, continues to demonstrate that in 2025, our clients require ever more capacity to predict, to compare information from several source to inform their decisions, investment -- new products, advertising, new packaging, new points of sale, either physical or digital. So we're in a market that will continue to drive our growth. And for that, we've taken 6 strategic choices that I'll return to briefly. It was a subject of a longer intervention, January 22 that I'll recall here. Firstly, we've decided to retain all the activities that we can cross all our 70 activities and 16 service lines, giving us a clear understanding of the people that we pull and then we provide data on the basis of the surveys to our clients. Secondly, our global footprint because it allows us to take global mandates from key accounts for Ipsos, but also allows us in each and every market to have the insights of that market to know how we pull people in villages, in towns in Peru, how we pull people online in the United States. They're very specific to each market. So our global footprint guarantees the quality of our access to respondents and also the ability to deploy solutions globally. Third, conviction, third belief, we must move ever fast in supplying answers to our clients at a time where we can with a well-crafted prompt, have a first version of a storyboard or an image for an ad campaign. It's -- there's obviously no question of waiting for weeks to know what will be the impact, the possible score of a particular storyboard or image. Fourth convention to do that, we must leverage technology and AI. Ipsos started years back to invest in contemporaneous tech and AI, but it must transform the way we work to achieve this priority of speed. I mentioned respondents and how our local as well as our global criteria was a criteria for access. Human respondents are the basis on which we can then recalibrate synthetic data, human respondent through the millions of people we can pull each and every day of quality and relevance for our clients will obviously continue to improve to invest in our panels to continue to bring in-house our ability to pull people on a regular basis and therefore, grow our proprietary panels. Sixthly, our activity remains centered on data information to our clients, but we must improve our position on value-added services, predictively analyze data, integrate data from varying sources that our clients can get either from social media, their own tools, CRM or surveys we supply them or surveys supplied by other marketplace. So these strict 6 strategic choices are key. But what's important is execution. In 2026, the first thing is to implement in terms of technical solutions of the systems and operating models that we're currently developing to have globally managed services that are managed consistently with the same methods, the same price ranges, the same technology, the same way of processing and retrieving the information wherever we operate. Identification, we have 6 heads of 6 globally managed services, 6 out of 70 is a small proportion, might you say, but in fact, that's several hundred million euros. These are well-established services where these GMS heads throughout the world will be responsible for driving growth and profitability of those services with local teams, not a matter of doing it fully centralized way, consistent with our approach, combining global presence and local relevance with the tools and we invest, and that's where we focus our investment on new tech AI-based solutions so as to recover it to the full DRI that only a uniform approach allies. We invest in the same platform across the board and develop it and deploy it consistently. We managed and leverage the ROI, making the first 6 of these GMSs globally managed services. First 6, once we have an operating model combining centralized management of the service and local rollout, we'll continue. It's but a beginning, we'll have others over and above the 70s. We'll extend it to other products that can be deployed across the world with a more centralized model. Secondly, we must continue to accelerate the rollout of digital and the use of -- by our clients, EUR 140 million, a platform that has a profitability higher than double that of Ipsos growing 40%, but we must do far more. When we look at our regions, the use of Ipsos digital is broadly dissimilar. So we're going to strengthen usage where we consider. We're not maximizing market opportunities with the platform. We'll continue to enrich the solutions based on this platform, allow us to treat specific services, focus groups, quality, brand insights and surveys, a set of solutions simpler and easier, essentials on the digital platform, allowing our clients to access services that they wouldn't be able to access without. And lastly, we'll open Ipsos Digital to new audiences. Concretely today, a client who conducts a survey with our help or directly on Ipsos Digital has access to our panel. We'll be able to connect other sets of respondents, the data of our clients, respondents who are not just consumers, but business leaders to supply trends on B2B or doctors and patients. So we'll open this up through the APIs. Access to panels other than those currently available today on Ipsos Digital, we believe that the accelerating growth of Ipsos Digital is a priority within our reach this year. Thirdly, around commercial efficiency. Today, we have a growth that is lower than that we're seeking. Obviously, we're going to go all out on empowering all leaders, the business leaders of the main countries of the business lines in our major markets so that each can have 1, 2, 3 clients with costed explicit targets to which is linked their annual performance. We're going to increase empowerment on commercial efficiency. And then there are a number of large contracts, more efficient platforms, greater in-housing, we must be even more competitive on these major contracts. We're also going flat out on what we have to retain that in terms of renewals to leverage the contracts that we don't currently own. So commercial activity on those major contracts. And then with the economic equation of having a local development team for the smaller accounts, we will bolster our activity, continuing to conquer new logos with business development teams where that is justified. So with that, we should rely on our heightened commercial efficiency to drive organic growth. But none of that is possible without the strengthening, as I mentioned, of our tech capabilities and to leverage opportunities open to us with AI. So we strengthened our management team with the appointment of Nathan Brumby as Chief Platforms and Technology Officer of Ipsos in charge of all our tech developments and solutions of data processing and AI with 2 simple priorities. On the one hand, continue to ensure that all tools where we've already invested major differentiating factor for Ipsos some more widely used where they can be. It's not the case currently today. And secondly, by investing in solutions, which for the service lines are AI-based solutions to reach our speed target to automate far more than is the case today. Our production chains speed because we said that tech should allow us on our production chain to accelerate and ensure, as we said at the CMD, responses provided real time for others, less than 48 hours. It's an upheaval. It's a radical shift in the way we work and the tools that we use. Obviously, it's not going to have at the drop of a hat. This is going to be -- it started in 2026. It won't add in '26. It needs to be broken down service focus where the speed factor is key for our clients, where our automation capacity must be leveraged rapidly. And so we've broken down and separated this speed requirement over several years by leveraging our platforms, reinventing our production chain with agents that can automate tasks done by our teams and by rethinking the way we work around many of our major services. For that, of course, we're capitalizing on the strengths that remain, our people, clients and innovation. I've been in professional services for some 10 years. We have teams that measure the employee engagement rate, do that for the clients, sometimes for us. 76% engagement rate is far higher than the average engagement rate that we're seeing at 72%. That's a benchmark. We have people who have a passion for what they do. They're committed. And then we have loyal clients over all clients spending at least EUR 1 billion so that we supply insight data production services. There's one in 100 who leaves us every year. So we have a churn rate of our client base that's very low. Lastly, innovation. [ GRIT ], an organization that looks at the various market player point named Ipsos, the most innovative company in the sector. We see this importance of innovation at this turning point of market surveys. It's absolutely critical to have this competitive edge brought to us by innovation on playing to these strengths, we're reaffirming our ambition to make Ipsos the world leader on actionable insights in which our clients take major decisions, product innovation, advertising, commercial rollout with a high impact and AI-based. What does that lead to in terms of the number? These are the targets in our CMD average growth '26 to '28 between 3% to 4%, accelerating in the out years, '29 to '30 to exceed 5%, operating margin of 13.5% in 2028 that must exceed 14% in the following period. Free cash flow cumulative over those -- over the order of EUR 1.4 billion, coupled with our low leverage that Olivier mentioned, our capacity to mobilize debt. If we need to invest primarily on acquisitions, many on solutions and tech accelerators, but also on our panels and acquisitions closer to Ipsos, EUR 1.2 billion that we plan to mobilize over 5 years. In 2026, our organic growth outlook is in the range of 2% to 3%. So we're embarking on this trajectory that will lead us to an average organic growth between 2% and 3% over the next 3 years. Operating margin of the order of that achieved in 2025. Turning now to the other commitment made at the CMD, an increased return to shareholder of 40% to 50% shareholder return of adjusted diluted EPS. This return will comprise 2 parts: one, an increase of our dividend per share, EPS adjusted diluted at EUR 2. But in addition, we consider that we have the ability without changing the trajectory that I've just mentioned, investing in acquisitions and in our tech and panel to have a share buyback program cancellation, which will be submitted to the AGM in May of EUR 100 million in 2026. So those are the main outlook points that I wish to share with you before opening up for Q&A with 2 items on our agenda, 16th April for the Q1 results and May 20 for our Annual Shareholders' Meeting. Thank you for your attention. We'll now take your questions.
Operator: Question number one. Emmanuel.
Emmanuel Matot: Good morning, gentlemen. My name is Emmanuel Matot of ODDO BHF. I have several questions. Regarding your target for organic growth for 2026, we note a significant acceleration to 3% compared to 0.6% in 2025. Do you believe that this will be for all audiences, all types of audiences? Or are you looking mostly at the Citizens business, which should go back to normal, having suffered an 8% decline in 2025. So are we looking at a year where -- with a sort of steady growth from H1 to H2? Or do you expect H2 to be significantly higher than H1? That's regarding the momentum on revenue. Second question about moving parts and the operating margin expected in 2026. Are you looking at something stable at 12.3%? I expect that is to do with organic growth in revenue, this gross margin where you want an improvement in margin and yet the data collection cost went up in H2 2025. And so was that only temporary? And then I imagine that the acquisitions -- well, they are useful, but they themselves should improve their own performances. And then I was a bit surprised by this share buyback program, EUR 100 million. It's about 7% for the shareholder. What prompted that decision?
Unknown Executive: Well, we'll take the question about organic growth. And where is this to occur mostly? Well, we have a strategic plan where we propose to invest in what are known as Globally Managed Services. And so these are businesses to do with the first line of business, namely consumers. And so we expect growth there to accelerate because we've been investing in GMS specifically on that line -- on that business line. On public affairs, we were at minus 8% in 2025, and we certainly hope -- expect the situation to improve. Having said that, that was low ebb at minus 8%. So we are looking at a resumption of growth, at least a better performance in public affairs and stepping up business in the other business lines. Regarding the operating margin, we said it would be higher, well, equivalent to that of 2025. And so 2025, we published a margin of 12.3%. So it should stand at about that. There, again, various factors involved. There were acquisitions and they had dilutive effects in 2025, but the dilutive effects should peter out in 2026 and indeed -- and they should dwindle away in 2027. But we will keep investing. So there will be capital expenditure there. That's, of course, regarding technology acquisitions. And then there will be -- we expect some productivity gains because we will be managing our panels and other instruments to make our tools more productive. Regarding gross margin, historically, well, gross margin has grown over time. This year, of course, it was down because of acquisitions, but there are 2 types of acquisitions. You had infas. Infas is mostly a public affairs business, and there's not much to be gained from synergies. But the BVA Family is a more traditional line of business covering all areas. And so there, we do expect synergies. Indeed, with the BVA Family, we started merging our teams, and we are proposing new solutions and the teams from BVA are joining our organization there. And so we expect gross margin and operating margin in these businesses to be in line with the profitability of the rest of the group by 2027. Regarding the share buyback program, well, if you look at the present share price, this was a good opportunity. But also, we believe that the share price does not reflect the actual value of the company in terms of growth, profitability, the debt ratio and all these factors are not fully reflected in the share price. And indeed, we -- even though organic growth was slightly less than our expectations, we still have a good performance. And so when the share price is low, this is a good time to buy back a significant amount of shares to be canceled. And indeed, that will be proposed to the AGM later this year. On revenue seasonality, what are the expectations for 2026? Well, look, we are engaging in an in-depth transformation of our business, new tools, new ways of working, commercial effectiveness and such like. So we are looking at a 3-year horizon. We cannot break down this. We cannot look at this on a quarterly basis.
Unknown Analyst: My name is [indiscernible]. I had 2 questions, a technical question first on digital data, digital twins, new players that are banking on the fact that the digital twins may well replace panelists in the long run. Do you -- are you using that at all? I mean that's the question. And then in view of productivity gains, thanks to AI, Ipsos Digital is growing pretty fast. Why aren't you banking on much higher growth in margin? I mean, you could be more ambitious than that surely.
Unknown Executive: Regarding virtual data, we don't want to get into the detail of that, but we have 2 strong beliefs. Number one, of course, AI in general, makes it possible to generate virtual twins or equivalents of individual data collected from actual respondents. So if you have a digital twin of the population, say, patients of that category, all you need to do is ask the question and you get the right answer and you don't need to go out and actually send questions to real people with phone calls or surveys and such like. But that's the theory. Well, one thing, though, is these things are changing slowly but surely. But of course, the actual people change as well. We need to recalibrate things. Some responses will need to be adjusted. And well, you have audiences that are more difficult to access. So we can use virtual twins instead, but we have to control for all that. But at the end of the day, we want precise information because if you launch a new product and the virtual respondent is left behind actual development, well, then our customers is spending money in the wrong place. So we can do this, but we have to rely on actual respondents. We have academic partnerships who are working on that, but cautiously. Regarding the impact on profitability, if you look at 2026, we will be rolling out some of the solutions we have been investing in, but we will need to keep investing to grow these solutions with -- to have differentiated solutions using AI with a broader and broader spectrum of services. So profitability is because, of course, some services such as Ipsos Digital are automated, so profitability increases, but we still need to invest in panels and in other technical solutions. So we are looking at growing margin, and we expect it to grow all the way to 2030. Nonetheless, we have to remain at the forefront of innovation.
Eric Blain: Eric Blain from Finance Connect. About the profit margin, you say that the platform has generated 30% growth. What's the revenue of the platform? EUR 640 million. And so with a good profit margin. So that certainly drives the group's margin up, doesn't it? You said that there was dilution effects that these should be -- that would be petering out next year. And so the gross margin at the end should improve, but capital expenditure is remaining stable. So surely, given that, you should do better than last year, not the same as last year. And the second question about EUR 100 million worth of share buyback. Why is this? And if the price -- the share price goes down in spite of that buyback program, will you delist it? And if you look at the profit margin by geographical area, very much like the previous presentations where you had some granularity on margin by territory. Could we have some color on that?
Unknown Executive: Well, on question number one, the operating margin in 2026. And that is a bit like the previous question. You have to keep in mind that we are looking here at a trend over 3 years. We have a strategic plan, and we are looking at operating margin of about 13.5% by 2028 and 14% for the years after that. So as early as this year, we have been -- there will be capital expenditure with new solutions, and we do expect this to bring fruition later on. Right now, we are rolling out the plan. Some tools are available. Others will arrive in H2, but we have to be realistic here. These new assets will bear fruition later on, maybe by 2027. So for the time being, we simply would like to confirm that, well, we're pretty confident, at least we expect to keep operating margin the same level as 2025. On the matter of profitability because you are referring to capital expenditure, that increased significantly in 2025 compared to 2024, 18%, up EUR 80 million. So we're looking at growth through innovation here. And so we need to keep investing. That, of course, does eat away at the profit margin. If we look at the payout policy, we are -- well, we repeat what we said, we're looking at anywhere between 40% and 50% of net adjusted income paid back to shareholders through dividends, of course. Having said that, we have no further comments on future buyback programs in the following years and depends on a number of factors. I mean, we do not propose to delist the company. We do propose to remain autonomous and independent. And if you look at a breakdown by geographical area, normally, we do not communicate on that.
Eric Blain: But maybe you could at least tell us about numbers in the U.S. or specifically. Maybe you can...
Unknown Executive: Well, the U.S. market has higher margins than other territories. But the low dollar is a dilutive factor. Yes, there was an effect on currency effect. You didn't mention. No, we didn't mention it because it's not significant.
Operator: [indiscernible]
Unknown Analyst: Congratulations for this. A question on the major tech players such as Meta, Google, Alphabet. You mentioned in the past that you were going to generate significant revenue with those key accounts and to be added in your services. Is that still the case today? Could you detail better for us what you're doing for the major U.S. tech clients?
Unknown Executive: Yes. Well, coming from a world where I had a lot of dealings with the major tech players, the fact that they're amongst our largest key accounts. This is something that interested me keenly, and it ties in with the question about synthetic data to a certain extent. One of the added values we're bringing is our detailed knowledge over and above the mere processing and presentation of data, the lessons learned and access to real respondents because these tech players have access to the people who access their platform. So each has primarily access to the people who access their platform. We have access to everyone, those who access their platforms and the others. So when it's a matter of pulling their reputation on the market to have access to specific audience segments, well, they rely on our capability. And that's our fifth strategic conviction. It's a major differentiating factor in this important world through its economic and social importance of the major tech that we're very relevant for them.
Operator: Questions on the line? The first question comes from Berenberg. Over to you.
Unknown Analyst: Jean-Laurent, Olivier, just a few questions from my side. Firstly, could you give us some insights on what you're seeing in terms of activity? Are you seeing a slight improvement over Q4 '25? And secondly, what's the percentage of the utilization of your own panels? And what percentage you're targeting by 2028? And recently, in your presentation, you mentioned GMS. You plan to extend GMS to several service lines. What is the time horizon for that unfolding? And how much might GMS is represented in 2028?
Jean Poitou: Well, we're not -- well, we'll be presenting the Q1 figures on April 16, as indicated on the slide. So we have no comment at this stage on the activity for Q1. But on the panel percentage, well, we're not going to disclose on the percentage utilization of our panels, but we have an internalization issue. The proportion of our own panels in the activity will increase by '28 to answer your question, this internalization, in-housing an important effort for us. And then after extension of GMS today, 6 services, which we're investing in specific platforms where we're changing the operating model to manage them globally, we are going to land this model in 2026, continue to extend them in the second half of '26, early part of '27, depending on the speed of change. I haven't modelized in '28 what the percentage will be. But what is clear is that we're going to go for a few hundred million to a growing share that will probably top at that horizon half our revenue.
Operator: We have another question on the line. From UBS.
Hai Huynh: Hai from UBS. The first one is just a little bit beyond '26, right? Because you guide for 2% to 3% for '26, but the average for '26 and '28 is 3% to 4%. Now Ipsos Digital is already growing 27% this year. So can you help us bridge towards that gap to 3% to 4%? Are you expecting Ipsos Digital to grow even further than the 27% rate? Or where do you see the acceleration to get -- to bridge that gap? That's my first question. And the second question is just how should we think about the pricing and margin dynamics for GMS versus your traditional ad hoc research? And then the third question is on the free cash flow. So you delivered EUR 181 million this year. And in your CMD, you're expecting EUR 1.4 billion to basically fund your acquisitions and your strategy over the next 5 years. So could you help us also explain on where do you expect free cash flow to ramp up? Is that going to be back-end weighted?
Jean Poitou: So on Ipsos Digital, indeed, however, remarkable this growth of 30% is it's EUR 140 million. If I just look at the dissimilarity, heterogeneity of usage, and we can beef up the portfolio based on digital solutions. Ipsos Digital will be far higher growth. It's a major focus areas for speed and for obvious economic reasons. On the growth profile and profitability of GMS, that drive innovation through new products, new solutions, new products of our clients based around creativity or the ad segment and behavior analysis. These are sectors that are both today in the portfolio, a few hundred million euros of those 3 broad categories of services that we manage globally, growth and profitability above the Ipsos average. Lastly, on FCF for the next 5 years, yes, we announced an FCF over the next 5 years of EUR 1.4 billion when comparing to what we achieved in '25. You'll see that there's an acceleration pathway versus 2025 to reach that EUR 1.4 billion over the 5-year period. I think that's about it in terms of questions. It remains for me to thank you, and see you on April 16 for the Q1 results. Thank you. Have a great day.